Operator: Good morning, and welcome to TripAdvisor's Second Quarter 2018 Earnings Conference Call. As a reminder, today's conference call is being recorded. At this time, I would like to turn the conference call over to TripAdvisor's Vice President of Investor Relations, Mr. Will Lyons. Please go ahead.
Will Lyons - TripAdvisor, Inc.: Thanks, Heather. Good morning, everyone, and welcome to our call. Joining me today are Steve Kaufer, our CEO; and Ernst Teunissen, our CFO. Last night, after market close, we distributed and filed our third quarter 2018 earnings release and we made available our prepared remarks on our investor relations website located at ir.tripadvisor.com. In the release you'll find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. You'll also find supplemental financial information which includes certain non-GAAP financial measures discussed on this call as well as other performance metrics. Before we begin, I'd like to remind you that this call may contain estimates and other forward-looking statements that represent management's views as of today November 8, 2018. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release as well as our filings with the SEC for information concerning factors that could cause actual results to differ materially from these forward-looking statements. Now, here's Steve who will share a few thoughts before we open the call up to questions.
Stephen Kaufer - TripAdvisor, Inc.: Thank you, Will, and good morning, everyone. To summarize our prepared remarks from last night, we posted a strong quarter. We're hitting our key 2018 objectives. We expect healthy EBITDA growth next year and we're investing in a number of attractive growth opportunities. We've put the business on a great path and we're excited about what's ahead. Let's now open up the call for questions.
Operator: Thank you. Your first question comes from Deepak Mathivanan with Barclays. Your line is open.
Deepak Mathivanan - Barclays Capital, Inc.: Hey, guys. Thanks for taking the questions. So first, on Non-Hotel, when should we expect the impacts of rentals to kind of moderate from a timing standpoint? You're calling for acceleration in 4Q Non-Hotel revenues. Should we assume that the impact from rentals is starting to moderate starting 4Q? And then second, on hotel shoppers, you noted that the referrals to partner sites grew in the letter. That's impressive considering the marketing reductions. How would you rank order your marketing efforts versus product initiatives, that's sort of delivering this? And then are you also seeing cost per referrals increase at this time? Thank you.
Ernst J. Teunissen - TripAdvisor, Inc.: Deepak, good morning. This is Ernst. I'll take the first question and I'll ask Steve to take the second one. What we called out in our prepared remarks is that there is some seasonality to the relative influence of rentals. Q3 is a quarter in which rentals is relatively larger in the portfolio compared to other quarters and so it had an outsized impact for that reason in the overall rate for Non-Hotel. That is less so in Q4. And over time, of course, with our restaurant business and our experience business growing quite fast and rentals actually at the moment declining single digit, the mix shift will result into rentals having a smaller and smaller impact.
Stephen Kaufer - TripAdvisor, Inc.: And this is Steve talking about the referrals that we sent downstream to our partners on lower hotel shopper number. I mean, it's certainly a truism that all shoppers are not created equal and so this is a two-part answer. The first is I think we found better ways to find the type of hotel shoppers that are naturally more interested in booking something right now. So, we're better able to buy, we'll call them, lower funnel shoppers. So the overall number may be lower, but the quality of them coming into the store, to our store, is higher. And then second, once they're coming in, yes, we continue to make meaningful gains in on-site conversion, especially on the phone, which is driving more downstream referrals. So we don't look specifically at how much we spend per referral, we always look at it as how much profit can we make for every referral that we buy.
Deepak Mathivanan - Barclays Capital, Inc.: Great. Thanks, Steve. Thanks, Ernst.
Ernst J. Teunissen - TripAdvisor, Inc.: Thank you.
Operator: Thank you. Your next question comes from Lloyd Walmsley with Deutsche Bank. Your line is open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks. Two if I can. First, just on the new TripAdvisor Experience. Is there any color you guys can give us on the test markets around engagement and the impact on monetization that gives you the confidence to roll that out to, I think, most of the globe in the next few weeks? And then the second one would just be I think it was inter-quarter, maybe at our conference, you guys had quantified the marketing efficiencies as in the seventh inning. It looks like you continue to get really good marketing efficiencies even as you've started to lap the beginning of that. So just wondering if you can give us an update on where that initiative is and how much room left you think you have to cut inefficient spend out of the marketing budget? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Hi, Lloyd. Steve here. So I'll take the first one and defer the second to Ernst. So we have been testing, obviously, our new experiences both from a product functionality, as well as what did some users see. It was a closed beta. We let the publishers on. And of course, we think it's a really great user experience that's going to enable travelers to stop popping or to reduce the popping around to lots of different websites, find all the content they want on TripAdvisor, believe it's trusted from all their sources, and pull them down the funnel. So it's an additive feature, if you will, to our robust ecosystem as opposed to mentally thinking of it as something completely different. When we look at our test markets, our initial things, I remind everyone that, for the traffic, that's just looking at a hotel, they just want to book a hotel. The site actually isn't very different right now because that component of our – segment of our traffic that's ready to book is looking at our hotel list page, they're looking at a hotel detail page and they find all the info they want. The social experience, by design, does not get in the way of any of that. When you look at the homepage and who's coming to the homepage, folks who are looking to plan their trip, looking to figure things out, the top part of the page now offers up more of our product opportunities, so we're not just a hotel search, and then the bottom of the page that wasn't used very much before now has a very rich social experience. So again, additive and that's what our users are telling us as we've tested it internally, or closed beta, and with some external users is that it's not getting in the way of anything that they were doing. Yay, we care a lot about that, the monetization of our current behavior, but it's now inspiring and offering more reasons to come back. After the launch, after it kind of rolls out next week, then we're really going to be able to start looking at cohorts of users, how many members do we get, what's the regular weekly repeat, monthly repeat, and all the rest of the metrics that we hope will be driven in a positive direction from this.
Ernst J. Teunissen - TripAdvisor, Inc.: And, Lloyd, your question on marketing efficiency, marketing efficiency was a very important driver of our EBITDA improvement year-over-year in our Hotel segment obviously. You saw that the auction was approximately flat year-over-year, yet significant EBITDA increase. We've more or less been able to drive the same number, the same amount of revenue with a lot less advertising. To your question of which inning we're in, thanks for asking the baseball metaphor. It's a very popular thing in Boston right now. I said seventh inning last quarter. We're probably right now in our eighth inning. We're probably somewhere in the middle on average during Q3. We're getting close to where we think we'll end up, although there is one inning more of opportunity perhaps to capture. I do want to point out, though, that we were at a much earlier inning at the beginning of last year. So as we enter into 2019, there's a good half year of us still not fully lapping the full impact of the marketing pullback that we have done. So you will see continued – until about mid-next year, a continued impact on year-over-year EBITDA, but also a continued impact on year-over-year shoppers from that. So we see that abating by mid-next year, but for instance for Q4, don't expect shoppers to grow. In fact, the year-over-year decline that we saw in Q3 may be even a little bit more pronounced, a little bit more higher in Q4. But then, we're going to be lapping a sort of peak impact moving into 2019. The flipside, of course, is revenue per shopper. Revenue per shopper was up very nicely in Q3, and we see revenue per shopper accelerate a bit more year-over-year in Q4 as well. So you'll see a continued divergence at least until mid-next year of those two metrics that make up auction revenue. But we're very pleased with the marketing efficiency. It's a very nice contributor to the bottom line. We do not think it sets us up badly for the long term. The marketing spend that we have been reducing does not have significant lifetime value. We've not seen negative impact on it or other channels from the marketing pullback, and so we feel very confident that this has been a good reset that sets us up really well for the future.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: All right. Well, thank you, and can't wait for the new experience to try it out. So, good luck with that.
Stephen Kaufer - TripAdvisor, Inc.: Look forward to your feedback. Thanks.
Operator: Thank you. Your next question comes from Mike Olson with Piper Jaffray. Your line is open.
Michael Olson - Piper Jaffray & Co.: Hey, good morning. For Non-Hotel, EBITDA was strong there. Do you see this as a fairly steady up and to the right trajectory for Non-Hotel EBITDA margins on an annual basis? Or, I guess, are there any significant investments that you might need to potentially make there that could cause margins to be lumpier? Like, so in other words, is there potential for a transition or kind of an investment year in Non-Hotel? Or is this going to be a fairly consistent upward move in margins for this segment? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes. So Non-Hotel EBITDA year-over-year increased by 7% in this quarter, while revenue increased by 20%. So it's a small margin compression this quarter. We're making significant investments, particularly in our Experiences business. Our Experiences business is an area where we're driving for growth and for market share and for expanding a market that is relatively nascent. We made an acquisition, a software company called Bokun, and we're investing very significantly behind that. That investment accelerated in Q3 and will accelerate going forward. And so, that – in our Non-Hotel portfolio, that is really the area where we are investing both on product supply and marketing.
Michael Olson - Piper Jaffray & Co.: Okay. Thank you.
Operator: Thank you. Your next question comes from Jed Kelly with Oppenheimer. Your line is open.
Jed Kelly - Oppenheimer & Co., Inc.: Great. Thanks for taking my question. Just on the earlier comment, rentals declining single digits. Was that a quarterly number? Or was that a full-year number?
Ernst J. Teunissen - TripAdvisor, Inc.: That was this quarter.
Jed Kelly - Oppenheimer & Co., Inc.: Okay. And then, just on Non-Hotel expenses, I think, they grew 29% year-over-year. Can you give us a sense if direct marketing expenditures related to Non-Hotel grew at a – grew similar to the overall expense growth rate or if it grew faster?
Ernst J. Teunissen - TripAdvisor, Inc.: Yeah. We've seen Non-Hotel expense growth, both on the people side, tech and dev, in particular, but also on direct marketing spend. And so both were important contributors of the cost growth, and it's that what you should take in mind when you look at our total direct marketing spend as a company. So we've decreased this quarter year-over-year total direct selling and marketing costs by $45 million. That is in the context of it being up in Non-Hotel, so it underlines the magnitude of the decrease in the Non-Hotel side.
Jed Kelly - Oppenheimer & Co., Inc.: Thank you, and nice quarter.
Stephen Kaufer - TripAdvisor, Inc.: Thanks.
Operator: Thank you. Your next question comes from Douglas Anmuth with JPMorgan. Your line is open.
Dae K. Lee - JPMorgan Securities LLC: Good morning. This is Dae on for Doug. Thanks for taking my question. My question is on the TV spend. It decreased year-over-year. Could you share your latest thoughts on where you are with that spend? And what level of spend is built into your 2019 adjusted EBITDA outlook?
Ernst J. Teunissen - TripAdvisor, Inc.: Yes, thanks, Doug (sic) [Dae] (14:03). Yeah, it was a modest $7 million decline year-over-year of TV spend this particular quarter. As you may recall, last year we launched our TV campaign in June, and this year we had a full year of TV spend. So we've spread out the budget, although higher, spread it out more throughout the year. And that resulted in this particular quarter, Q3, being a little lower year-over-year. We're on track to spend the $100 million to $130 million that we indicated. We're probably going to end up somewhere in the middle of that range for this year. TV is performing very nicely for us and that's the reason why we spend as planned. The return that we see from it has been – has been increasing and improving. And so we look towards next year, and a couple of things there. Continue to spend on TV next year. We like the channel. It's producing good results for us. In all likelihood going to diversify the message from just a purely hotel shopping experience focus to a broader focus. Including experiences, including other – and other things. We haven't fully finalized yet what the TV spend will be, but you should take our statement about expecting healthy EBITDA growth next year to give at least some guard rails of the magnitude of TV increase if we increase our TV budget.
Dae K. Lee - JPMorgan Securities LLC: Got it. Thanks for the color.
Operator: Thank you. Your next question comes from Mark Mahaney with RBC Capital Markets. Your line is open.
Shweta Khajuria - RBC Capital Markets LLC: Hi. This is Shweta for Mark. In Q3 2017, you started seeing the auction bidding volatility and that has stabilized over the past few quarters. So where or what is it like today and do you think it's back to normal? I know you don't have much control, but what are you seeing right now? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes. Thank you, Shweta. Yeah, indeed. It was Q3 2017 and so if you do the year-over-year comparison, this past Q3 versus Q3 2017, we started to lap all those impacts in Q3. So, Q3 to Q3, it was still a modest negative impact year-over-year for us, but towards the end of the quarter, narrowing in and in Q4, we will have pretty much lapped it with the average. So, Q4 should be a quarter where you – that impact has been completely lapped. We've seen stability in our auction really since Q4 last year and have no reason to believe it will change in the near or medium-term future. And so everything has been relatively stable since that – since that event last year and has been stable in Q3, has been stable at the start of Q4 as well.
Shweta Khajuria - RBC Capital Markets LLC: Thank you.
Operator: Thank you. Your next question comes from Naved Khan with SunTrust. Your line is open.
Naved Khan - SunTrust Robinson Humphrey, Inc.: Yeah. Hi. Thanks a lot. Just a couple. So in the – in the guidance for sort of healthy growth in EBITDA for next year, I guess it's still a preliminary outlook, but by healthy, do you mean – should we take it to mean high single digit or double digit or what should be the right way to think about it? And then I had a follow-up.
Ernst J. Teunissen - TripAdvisor, Inc.: Hi, Naved. Yeah, we're not saying more about that than what we're saying right now. As you point out, it is – it is early. It's – we're in our planning, but we did want to call out our expectation for healthy EBITDA growth next year. This has been a year in which we have been in transition and there have been lots of different moving parts and lapping events and we just wanted to provide some early clarity on the direction that we saw EBITDA taking for 2019. But not the right time right now to put a finer point on our statement as made.
Naved Khan - SunTrust Robinson Humphrey, Inc.: Understood. And then, Steve, maybe you can update us on the mobile hotel shopper monetization. How does it look like as a percentage of desktop hotel shopper?
Stephen Kaufer - TripAdvisor, Inc.: So we crossed the 50% number this past quarter in terms of mobile hotel shoppers versus desktop. We continue to grow our mobile hotel shopper – or both shoppers as well as revenue per shopper on the phone. This is continuing along trend for us now. The product is obviously getting better, shoppers are more comfortable booking on the phone, so the referrals that we send downstream to our partners are booking better. And our click revenue continues to grow. So while, to be clear, it's still a headwind compared to desktop, it's lessening and you see that in the result of having grown overall revenue per shopper this quarter even with the shift to the phone. So, going well. I'm happy about it on both app and the mobile web.
Naved Khan - SunTrust Robinson Humphrey, Inc.: Great. So I think a couple of quarters ago, you said mobile is up to 40% or revenue per mobile shoppers is roughly 40% over desktop shoppers. Is it still around that level? Or has it gone up since then? Any kind of color or clarity?
Ernst J. Teunissen - TripAdvisor, Inc.: Yeah. It's still around that level. It's obviously gone up a little bit. It's going up a little every time because our mobile revenue per shopper is growing faster than desktop. But it's still roughly the same. Of course, we take it, if very good desktop performance in any particular quarter may not make that number go up as fast as otherwise. Like we had 10% revenue per shopper improvement on desktop, which was a very nice feature here. But it's improving steadily, but it's still in that sort of 40% ballpark.
Naved Khan - SunTrust Robinson Humphrey, Inc.: Thanks a lot, guys.
Stephen Kaufer - TripAdvisor, Inc.: Thank you.
Operator: Thank you. Your next question comes from Eric Sheridan with UBS. your line is open
Eric J. Sheridan - UBS Securities LLC: Thanks so much guys. So maybe two-part question. When you think about some of the improvements you've made on the platform and now looking out over the next one to two years, is there an area of either revenue per hotel shopper or hotel shopper growth where you feel like you can get back to sort of trending more in line with the industry on the topline side, whether it be the overall travel industry growing low to mid-single digits or online travel growing sort of low-double digits? And then, now that you've have gone through a period of efficiencies and performance marketing and testing and learning on EV, how should we be thinking about the level of investments made that needed to be made to get back to those levels of growth as well as you look out? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. I'll take this a stab at that. Thanks, Eric. So when we look over the next year or two, we come at it, remember, from this close to half a billion travelers on our site with a huge number of hotel shoppers. So our opportunity to get folks to come back more and more as we pull them down the funnel to become hotel bookers remains huge, just based upon our current reach. If you think of the new TripAdvisor with the social layer, follows, the ability to get inspired, those are wonderful travel features. But if you look behind the curtain, you see that they're going to be, we expect, pulling folks back to TripAdvisor when they're getting closer and closer to buy mode. That's going to take our revenue per shopper, we would hope, up. So even with the current traffic building on that repeat, building those memberships with our current business model drives nice potential rev per shopper gains, which on the breadth of our traffic, could be huge for us. Second point, we have our media products. So again, looking at all of the travelers, all of the visitors to the site who are not currently in book mode, but are still planning a trip. We have a nice display business. We have a fast growing ads business in both restaurant and hotels. And that's another way that we get to take advantage of the fact that we have so much traffic on both desktop and the phone because the products are priced the same. But back to the point of the opportunity for us to better leverage the up funnel traffic enables us to grow revenue without necessarily growing top of funnel the way that we've been measuring it before.
Eric J. Sheridan - UBS Securities LLC: Great. Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Thank you.
Operator: Thank you. Your next question comes from Kevin Kopelman with Cowen & Co. Your line is open.
Kevin Kopelman - Cowen & Co. LLC: Great. Thanks a lot. Can you give us just an update on your business trends from Google, both how you're doing on the SEO side and also on the paid search side in the Hotel and Non-Hotel? In the Hotel side, to what extent have you been able to use Google Hotel price ads in the mix? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. So we never give specific commentary on the SEO, but we are certainly always watching and noting how Google is interrupting the search results with their own products, and we continue to point out that that's not particularly fair for a dominant search engine to do, but accepting it as a reality in several countries and all of our modeling takes that into account. Ernst talked a lot about the paid search channels and Google is a very big paid search channel for us. So, I think that story is already fairly clear. In the Non-Hotel category, we continue to grow our paid search marketing efforts as, again, not a profitable basis, but as always, like any Internet company, an excellent way to acquire new trial for our product. To Google Hotel price ads in particular, yes, we have been using them for a while. It continues to do quite well for us. We run it on a profitable basis and it's delivering top line as well as bottom-line and we would expect it to continue to do so.
Ernst J. Teunissen - TripAdvisor, Inc.: And in terms of – in volume terms -
Kevin Kopelman - Cowen & Co. LLC: Thanks, guys.
Ernst J. Teunissen - TripAdvisor, Inc.: If I could just add, in volume terms in this quarter. So the revenue per shopper year-over-year decline – I'm sorry, the shopper decline year-over-year is purely driven by our pullback on our marketing channel, including Google as a marketing channel and all the other channels, the non-paid channels, including SEO, our performance has been very robust this quarter. So, if you look at sort of a point to explanation of shopper growth softness, it is purely to our pay channels.
Kevin Kopelman - Cowen & Co. LLC: Great. Thanks, Ernst and Steve. That's really helpful. If I could ask one other question, just looking at Q3, can you give us any more color on specifically the biggest changes that you made to drive ad ROI in the quarter and how much was – how much of the incremental ROI improvement was related to flagship brand versus other hotel brands? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Most of the improvements was our flagship TripAdvisor brand. That's where we have made the most changes. We did call out that our other hotel area revenue line where we have non-TripAdvisor hotel brands that we've also make some adjustments, but the big impact was in TripAdvisor. We've continued to increase our sophistication, at which we look at the relationship between marketing spend and downstream creation of bookings for our partners and we've again found ways of optimizing there. And get better efficiency from our channel. As I said out to – point out to an earlier question, we're going to see the benefit of that in Q4. We're going to see the benefit of that in next year until we lap that somewhere in the middle of next year.
Kevin Kopelman - Cowen & Co. LLC: Thanks, Ernst.
Ernst J. Teunissen - TripAdvisor, Inc.: I want to call out, like, additionally call out just like the difference between Q3 and Q1 and Q2 year-over-year was, of course, that in Q1 and Q2, we had – we were spending TV, where in 2017 Q1 and Q2, we hadn't or only in June of Q2 and so that was more normalized this quarter. So, you now see – in Q3, you see a more normalized TV year-over-year. So you see a more significant impact coming through in the marketing line from the pullback on marketing that you saw in the previous quarters.
Kevin Kopelman - Cowen & Co. LLC: Great. Thanks, Ernst.
Operator: Thank you. Your next question comes from Tom White with D.A. Davidson. Your line is open.
Thomas White - D.A. Davidson & Co.: Hello. Great. Thanks for taking my questions. Just the comment about growth in hotel shoppers sent to the partner sites despite hotel shoppers being down overall, Steve, you mentioned on-site conversion improvements, particularly on phone. I was just wondering if you could provide a little more color on maybe some examples of exactly what those improvements were. I presume it's a bunch of different sort of UI tweaks, but I would be curious to hear what types of changes are the most impactful. And then in the prepared remarks, hotel media ads, sounds like that was strong in that display based and subscription line. Any kind of numbers you can give us on the growth trajectory there or color on the types of hotels adopting it or average monthly spend? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. I'll take a stab. So on the impactful sort of conversion, again, both desktop and phone, we do a lot of our development on a common framework. So when we roll something out, it works on both platforms, at least mobile web and desktop. And you have relatively straightforward things like making it easier for folks to be entering their dates and you have more sophisticated things such as building the sort order for what hotels are shown to unique individuals as customers to put the best hotel in front of them at the best time. And when we make it easier for folks to find what they are looking for, not surprisingly, the click rates improve. We also have done a lot of work on the pricing engine. So compared to last year, we are showing better prices to our travelers through a better set of clients as well as just making sure that the best prices surfaced at the right time. You're absolutely right. There's no kind of one big thing that's driving that revenue per shopper conversion, but rather the sum of quite a few. And as I think we had mentioned earlier, a lot more of our focus on testing has been moving to the phones, so we're seeing arguably more low-hanging fruit there for us to pick up in terms of the rev per shopper numbers. On the hotel media, or media in general for restaurants and hotels, the sponsor placements, the Trip ads, again, we see continued growth. Certainly year-over-year we had nothing in the hotel sponsor placements line item, and now it's a nice business for us. Restaurants, we had products, and we continue to grow. Those are all part of what we call our Hotel Solutions and Restaurant Solutions business units which continue to take advantage of what we call the up-funnel traffic, taking advantage of folks that are generally still shopping around, not quite ready to book and hotels and restaurants can help influence the best hotel and the best restaurant for our travelers and gain visibility. It's really a very strong product for them. It's global, it's multiplatform and so we expect to see obviously continued growth for both of those products for the foreseeable future.
Thomas White - D.A. Davidson & Co.: Thank you.
Operator: Thank you. Your next question comes from Justin Patterson with Raymond James. Your line is open.
Justin T. Patterson - Raymond James & Associates, Inc.: Great. Thank you very much, and congratulations on outperforming your Hotel margin targets. So given that performance, how do you think about the ability to get back to the high 30% to 40% Hotel margin you had prior to 2016? On one hand, you did deliver some efficiencies on OpEx this year and have some potential revenue drivers. On the other hand, those margins also exist in an era where SEO was viable and mobile was a smaller piece of the mix. So, just curious on the puts and takes there.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes, Justin, and thank you. As we look at the P&L for our Hotel business and look going forward, then we have of course, as you pointed out, this year seen significant margin improvement, mostly from advertising rationalization. But then underneath what you can start seeing Q3 is now that some of the lapping gets more visible of the beat down last year, we see nice revenue per shopper improvement. Steve was just talking in the previous question about how we are driving more shoppers to our partners and how that is helping ultimately revenue per shopper. And there's a lot of mileage still in that. As you know and as we've said many times, we have a lot of shoppers, but relatively few of them, the minority of them, engage with our price comparison where we monetize those users the best. And so the more we can do to become relevant for shoppers for price comparison as we are successfully doing this year, the more our revenue per shopper will go up. And for our non-pay channels, that purely drops to the bottom line. And so if we continue to be effective there, we will see an opportunity there in the future. Steve also talked about our advertising products, which are very high margin, too. So having said all of that, improving revenue per shopper over time will give us more opportunity to spend on marketing and over time perhaps expand our SEM and other marketing budgets again, which may dampen margin, but be very helpful to absolute EBITDA. So those are some of the puts and takes. We look at the P&L much more from an absolute profit point of view than a margin point of view because of those choices you can make on mix between paid and non-paid channels. But we see a number of drivers that would help us move EBITDA up over the years to come.
Justin T. Patterson - Raymond James & Associates, Inc.: Great. Thank you.
Operator: Thank you. Your next question comes from James Lee with Mizuho Securities. Your line is open.
James Lee - Mizuho Securities USA LLC: Thanks for taking my questions. Just want to get an update on the Bokun integration, and help us understand how quickly can you leverage this acquisition to ramp up bookable listings for your Experience business? I think we are right now about 14%. And also, last quarter you said that long term margin target is about 20%, so what kind of critical mass in terms of instant booking do you need to get to in order to get to that margin target? And lastly, can you talk about maybe some of the competitor activities in the Experience business as a number of players also ramp up in this space? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Hi, James. This is Steve. I will try to take two out of the three. Starting with the first one, we're really pleased with Bokun and what it enables us to do over the long term. We have been quite aggressive in pushing that product to the current audience and to a broader set. The name of the game is really for us and every other attraction, OTA in the business is to get more and more of the supply online and bookable. If it comes through Bokun, if it comes through some other platform, it's all good. And Bokun in turn can distribute that inventory or we can distribute that inventory through other channels as well. Changing the consumer habit to be able to think about booking just about any experience they want on our platform before they go, and then booking – if they didn't make the decision in advance, booking the experience in-destination in our app is the endgame. And Bokun, we are investing in it. It's not an immediate return for us in terms of revenue. It's a long term play in terms of getting lots of supply online to match with our demand. And so we work with Bokun. We work with obviously plenty of other partners in the space. Bokun's supply growth is continuing. Still so few of the total players are available and online that we see plenty of growth ahead. And then I'll just jump to the competition and then turn it over to Ernst for the question on the finances. Of course, there is lots of players, big players, interested in tapping into what some call the last big sector in the travel space that hasn't really migrated online. Air is online, Hotel is online, but Experiences much less so. But we are in the lead, or we're one of the leaders with several other players. But the total volume of booked online versus what's currently booked offline is still really small comparatively. To the degree that TripAdvisor and all of the competitors that also book experiences continue to grow, my view is that the pie grows, the consumer habits change, and we all benefit. I'm much more interested in changing that consumer habit. I'm much more interested in teaching people that they can book all those experiences online through us than I am worried about any particular competitor taking share in this space.
Ernst J. Teunissen - TripAdvisor, Inc.: Yeah. In terms of margins and profitability for Non-Hotel, so the fundamentals for both our Experiences business and Restaurants are quite strong. The margins are – the commission levels are good, and so the long term margin structure for this business is very healthy and can reach levels that we have seen in the Hotel business as well. But that's over a longer period of time because we are significantly investing in making sure we grow the platform. We're in a phase right now where it is important for us to continue our leadership position, particularly in Experiences, and keep investing behind that and that's what we're doing. So our focus is not so much on reaching the potential margin structure. In the very near term, our focus is on making sure we ramp revenue first before we seek to achieve that.
James Lee - Mizuho Securities USA LLC: Okay. A quick follow-up question regarding the news feed product. And maybe, Steve, maybe you can help us understand maybe the on-boarding process from the user's perspective? Do we need to go in and sign up, put in the information about the user and create a new account there or can we leverage maybe some of the social media accounts like Facebook or Google to sign in? And the same question for connections as well. Can users bring their own social connections into play into the platform or do they need to create new ones on your platform? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. Good questions. You can sign into TripAdvisor via Google or Facebook today. That's existing functionality. If you sign in via Facebook, then we automatically can see the list of your friends and part of the onboarding process will be which of these friends would you like to follow? And that's a very nice, straightforward flow. Google doesn't quite have that, but we're going to be going ahead and suggesting people that you might want to follow or suggesting – sorry, less people for Google, but more brands and travel influencers. And based upon your behavior on the site, we're going to be trying to get better and better about interesting people, interesting brands, interesting influencers to help grow your experience. And then, of course, as you go through the site and go through the experience, as you see people that are writing stuff that you're interested in you're of course able to follow them. And if you use a site like Twitter or Instagram, that's part of the fun, that's part of the process, is seeing all the great content that's out there, following them and then we're naturally going to be putting more of their content into your feed and into our emails for you so that you get inspired about trips even when you're not actively planning one.
James Lee - Mizuho Securities USA LLC: Great. Thanks.
Operator: Thank you and this concludes our question-and-answer session for today. I'd like to turn the call back over to Chief Executive Officer, Steve Kaufer, for closing remarks.
Stephen Kaufer - TripAdvisor, Inc.: Well, great. Thanks, everyone, for joining the call. It's been a great 2018 and it really wouldn't be possible without the terrific efforts of all of our employees. To all of the TripAdvisor media group team members around the world, thank you. Together, we've put the business on a great trajectory and we have exciting growth opportunities ahead. I look forward to updating you all on our progress next quarter. So thanks, everyone.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you all may disconnect. Everyone, have a wonderful day.